Operator: Good day and welcome to Paymentus’ Third Quarter 2023 Earnings Call. This call is being recorded. [Operator Instructions] At this time, I will now turn the call over to David Hanover, Investor Relations. Please go ahead.
David Hanover: Thank you. Good afternoon and welcome to Paymentus’ third quarter 2023 earnings call. Joining me on the call today is Dushyant Sharma, our Founder and CEO; and Sanjay Kalra, our CFO. Following our prepared remarks, we’ll take questions. Our press release was issued after the close of market today and is posted on our website where this call is being simultaneously webcast. The webcast replay of this call and the supplemental slides accompanying this presentation will be available on our company’s website under the Investor Relations link at ir.paymentus.com. Statements made on this webcast include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements use words such as will, believe, expect, anticipate, and similar phrases that denote future expectation or intent regarding our financial results and guidance, the impact of and our ability to address continued economic uncertainty and inflation, our market opportunities, business strategies, implementation timing, product enhancements, impact from acquisitions and other matters. These forward-looking statements speak as of today, and we undertake no obligation to update them. These statements are subject to risks, uncertainties and assumptions that may cause actual results to differ materially from those set forth in such statements, including the risks and uncertainties set forth under the caption, special note regarding forward-looking statements and risk factors in our annual report on Form 10-K for the year ended December 31, 2022, and our subsequent quarterly reports on Form 10-Q, including our Form 10-Q for the quarter ended September 30, 2023, which we expect to file with the SEC shortly and elsewhere in our other filings with the SEC. We encourage you to review these detailed forward-looking statements safe harbor and risk factor disclosures. In addition, during today’s call, we will discuss certain non-GAAP financial measures, specifically contribution profit, adjusted gross profit, non-GAAP operating expenses, adjusted EBITDA, adjusted EBITDA margin, and non-GAAP net income and earnings per share. These non-GAAP financial measures, which we believe are useful in measuring our performance and liquidity, should be considered in addition to and not as a substitute for or in isolation from GAAP results. We encourage you to review additional disclosures regarding these non-GAAP measures, including reconciliations of the most directly comparable measures in our earnings press release issued today and the supplemental slides for this webcast, each available on the Investor Relations page of our website. With that, I’d like to turn the call over to Dushyant Sharma, our Founder and CEO. Dushyant?
Dushyant Sharma: Thank you, David. In the third quarter of 2023, Paymentus again delivered outstanding business results with a strong growth in revenue, contribution profit and adjusted EBITDA. Third quarter revenue increased 18.9% on a year-over-year basis to $152.4 million. Adjusted EBITDA, which is a significant financial metric for us finished well ahead of our expectations at $15.5 million, a 93.9% year-over-year increase. Contribution profit was $61.5 million, growing 20.3% year-over-year. In Q3, we added $10.4 million in contribution profit over the same period last year, while dropping over $7.5 million of that to adjusted EBITDA. So similar to Q2, the majority of incremental contribution profit dollars, we generated a drop to the bottom line. We believe this is important and demonstrates our ability to expand our operating leverage without sacrificing growth or innovation. This has been our operating strategy throughout 2023. Our updated guidance for Q4 and full year 2023, which Sanjay will cover shortly, reflects the continued execution of this strategy and our expectation that a significant portion of our incremental contribution profit will drop to the bottom line in the fourth quarter on a year-over-year basis. Our goal is to deliver high-quality earnings with solid top line growth. We are proud of what we have accomplished already in this regard, and we expect to continue executing on this strategy, which we believe is extremely effective in today’s macro environment where many things are beyond our control, such as interest rates or geopolitical events. Now I’ll review some of our key third quarter business highlights and accomplishments. We exited the third quarter with a strong bookings backlog and are very pleased with the year-over-year growth we have achieved so far in 2023. Given the strength of our backlog, we feel good about the remainder of 2023, and we believe we are well positioned for 2024 in our ability to deliver top line and adjusted EBITDA dollars growth. We believe the key reason for our continued momentum is the strength of our technology platform, competitive differentiation with diverse financial product, fintech products, and ever-expanding Instant Payment Network or IPN ecosystem, which enables our clients to participate in a broad and diverse ecosystem by merely integrating onto our platform. We believe our Instant Payment Network ecosystem continues to be attractive to financial institutions as well because it allows them to modernize their legacy bill pay experience with minimal difficulty or expense. On the topic of our strong sales momentum, we signed several large clients during the quarter. For example, we signed two large insurance companies who will use our platform and the Instant Payment Network ecosystem to receive payments from various channels from the consumer and business policyholders. We also signed a large consumer finance business for managing their loan payments across all channels. And we also signed a large credit union to manage their online bill payments using our Instant Payment Network. We believe this opens a further upsell and incremental revenue opportunities for us with similar clients to handle their loan repayments in addition to bill payments. Among various other clients across multiple verticals, we signed a large government agency for managing their payments on our platform. We also remain focused on onboarding our strong backlog in order to drive continued growth. We are making targeted investments in this area and believe these investments as well as the improving post-pandemic environment that allows for a more in-person collaborative process continues to help us in accomplishing this goal. In terms of our implementation progress, we launched several large clients during the quarter across various verticals, including a wholesale business-to-business entity, a health care company, a large utility, and multiple insurance companies, financial institutions, and government agencies. Complementing this, we also added new partners to our growing partner ecosystem in various business verticals. These include an education technology company and a health care company to assist with expansion of our platform in these industry verticals, along with several partners in the municipal and the utility space. In summary, we reported excellent results for the third quarter, once again demonstrating our ability to expand our operating leverage without sacrificing our continued growth. We continue to have solid sales momentum and remain focused on onboarding our strong backlog. Now, let me turn it over to Sanjay to review our financial results in greater detail.
Sanjay Kalra: Thanks Dushyant and thank you all for joining us today. Before I discuss our quarterly results and outlook, I’d like to remind everyone that the financial results I’ll be referring to include non-GAAP financial measures. As David mentioned earlier, our Q3 press release and earnings presentation includes reconciliations of the non-GAAP financial measures discussed on this call to the corresponding GAAP measures. Both of these are available on our website. Turning to Slide 5. For the third quarter of 2023, we delivered excellent financial results. We believe these results demonstrate the resiliency and strength of our business, which continues to perform well despite present macroeconomic concerns. Our third quarter results included revenue of $152.4 million, contribution profit of $61.5 million, and adjusted EBITDA of $15.5 million. As Dushyant noted, contribution profit and adjusted EBITDA came in higher than expected, and I’ll discuss that in more detail in a bit. We also continue to experience solid business momentum in the third quarter, this enabled us to exit the quarter with a robust backlog while strengthening our cash position. Based on our strong performance this quarter, the positive business trends Dushyant mentioned earlier, and our expectations for the remainder of 2023, we are raising our full year 2023 revenue, contribution profit, and adjusted EBITDA guidance, which I’ll talk about shortly. Now let’s review our third quarter financials in more detail. The number of transactions payments processed grew to $115.4 million in the third quarter up 25.2% year-over-year. As I mentioned earlier, Q3 revenue was $152.4 million, up 18.9% year-over-year. This growth was largely driven by increased transactions from existing billers, the launch of new billers and increased activity in our Instant Payment Network or IPN business. Third quarter 2023 contribution profit increased to $61.5 million, up 20.3% year-over-year and ahead of our expectations. This year-over-year increase reflects higher transactions from existing billers and the launch of new billers that I mentioned earlier. Contribution margin was 40.3% for the third quarter compared to 39.9% in the prior year period. As previously noted, contribution profit in the third quarter surpassed our expectations. This outperformance was primarily due to 2 factors. First, we saw some improvement in the Energy Services Consumer Price Index, or CPI, during the quarter that we didn’t originally anticipate. Second, we experienced some favorable unexpected seasonality from several newly implemented billers. We expected to see the favorable seasonal biller activity in the fourth quarter, but it occurred a quarter earlier than expected. Contribution profit per transaction for the quarter was $0.53, which was modestly down by 3.6% from $0.55 in the prior year period, primarily due to biller mix and payment method mix from newly launched billers. As we stated in the past, variables outside our control, such as an increase in average payment amount, changes in the payment mix, biller mix, CPI, and card network fees, et cetera, can significantly influence contribution profit on a quarterly and per transaction basis. Adjusted gross profit was $51.3 million for the third quarter, up 24.9% year-over-year. Year-over-year adjusted gross profit growth exceeded contribution profit growth, primarily due to economies of scale of processing costs. Non-GAAP operating expenses increased to $37.9 million, up 8.9% year-over-year. The increase was primarily due to higher sales and marketing expenses as we continue to focus resources on the execution of our go-to-market strategy. Adjusted EBITDA for the third quarter was $15.5 million or 25.3% of contribution profit, up 93.9% compared to $8 million or 15.7% of contribution profit in the prior year. This strong quarterly performance compared to the guidance we had provided in August was driven by four key factors. First, we benefited from some level of deflation of CPI Energy Services Index during the third quarter, something we could not anticipate. Second, as noted earlier, we experienced increased contribution profit due to some unexpected seasonality from several recently implemented billers. Third, as I just mentioned, our processing costs improved due to economies of scale. And fourth, expected hirings progressed slower than we originally planned in the quarter resulting in lower operating expenses. Even taking into account these unexpected variables, which benefited us, I believe our strong adjusted EBITDA margin demonstrates the inherent operating leverage we have in the business and our ability to adapt to changing market conditions as we continue to grow. Other income was $1.9 million during the third quarter reflecting increased interest income from our bank deposits and effective cash management. Non-GAAP net income was $10.9 million or $0.09 per share compared to non-GAAP net income of $3.8 million or $0.03 per share in the prior year period. Now I’ll discuss our balance sheet and liquidity position on Slide 6. We ended Q3 with cash and cash equivalents of $166.9 million compared to $162.5 million at the end of Q3. The $4.4 million increase is primarily comprised of $13.1 million of cash generated from operations, offset by $8.9 million used in investing activities, primarily internally used capitalized software used to drive growth and innovation. The company does not currently have any debt. Our free cash flow generated during the quarter was $4.3 million. Our days sales outstanding at the end of Q3 was 45 days compared to 41 days at Q2 ‘23, within our expected range. Working capital at the end of Q3 was approximately $196 million, an increase of approximately $6 million from the end of Q2 ‘23. We had 125.6 million diluted shares outstanding as of September 30, ‘23 compared to 124 million diluted shares outstanding at the end of Q2 ‘23. The increase was largely due to improved average stock price during the quarter and to some extent, due to vesting of employee restrictive stock units and the exercise of stock options. Now I’ll turn to our guidance for full year 2023 and Q4 2023 on Slide 7. Given the considerable progress we have already made in 2023, and our expectations for the remainder of the year. For the full year 2023, as reflected on the left side of the slide, we now expect revenue in the range of $604.5 million to $608.5 million, up from the midpoint of our previous guidance. Contribution profit in the range of $235 million to $237 million, up at the midpoint versus prior guidance and adjusted EBITDA in the range of $50 million to $52 million, representing a 17% increase at the midpoint versus our prior guidance. As reflected on the right side of the slide, for Q4 ‘23, we now expect revenues in the range of $155 million to $159 million, up from our prior guidance. Contribution profit in the range of $60.5 million to $62.5 million, with a narrower range than before due to better-than-expected seasonality benefits we realized in Q3 from newly implemented billers. We had originally expected those benefits to occur in Q4. Adjusted EBITDA in the range of $12 million to $14 million, representing an 18% increase at the midpoint versus our previous guidance. In summary, we reported exceptional third quarter results. During 2023, we have continued to build on our solid momentum with strong revenue, contribution profit, adjusted EBITDA, and bookings growth, which enabled us to end the third quarter with a solid backlog. As a result, we have strong visibility and believe we have positioned ourselves well for the fourth quarter of 2023 as well as into the next year. Thank you, everyone, for your attention today. And now I’ll turn it back to Dushyant for final remarks before we open up the call for questions.
Dushyant Sharma: Thanks, Sanjay. In closing, we are very pleased with our third quarter results and are very excited about the long-term value we are creating in the business and for our stockholders. We are also very proud that over the last couple of years, we have consistently demonstrated that; a, we can grow revenue while still expanding margins; b, we can achieve this growth and sustain our sales momentum even in a challenging macro environment; and c, we have built a world-class team that knows how to come together and operate the business and still deliver these great results while navigating through difficult market conditions. To that end, I want to thank my team for all their efforts. That concludes our prepared remarks. I will now open the line up for questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from John Davis with Raymond James. Please proceed.
John Davis: Hi, good afternoon, guys. Once again, lots of margin upside. I think last quarter, margins were about 900 basis points. EBITDA margin that is ahead of your guide or expectations this quarter, about 800 and we are looking like we’re going to exit this year or sorry about 21% margins or 22% for the full year. So just, Dushyant, how should we think about the normalized kind of margin expansion of this business and the long-term margin profile given the significant outperformance year-to-date?
Sanjay Kalra: Hi, John, this is Sanjay. Q3 was a great quarter for us as we just pointed today, having 25.3%. And yes, Q4 guidance, we are a little bit softer than what we saw in Q3. And definitely prudence prevails on our thinking based on how the macroeconomic conditions are prevailing. I would say how to look going forward, at this point, while we are not giving any guidance for next year. But I think to share how to think about the modeling going forward on our margins, I think I’ll start with – let’s talk about the two primary factors in our modeling going forward, which will cover your answer as well. So if you give me a minute. Primary factors are revenue and EBITDA margin dollars. We expect our revenue, i.e., the top line, to grow by 20% annually. And then we expect our adjusted EBITDA dollars to grow somewhere between 20% and 30% annually, so say, 25% midpoint. So that’s our driving factor, these two top factors. And then there are secondary factors in the middle, which have a role to play, but not so significant, just like contribution profit and OpEx. But to answer your question for modeling going forward, expect that annually EBITDA dollars will be up by approximately 25%. And yes, I would also point out that – sorry, I’d just like to add. Thinking of quarters at this point is difficult. As you know, there is variability among the quarters. Some quarters could be softer than the other. Some quarters could be aggressive than the others. And it all depends on the mix of the billers, there are multiple billers going live at different points in time. So quarter-to-quarter comparison at times becomes tough, especially like in Q4, you might see. But overall, for the whole year, that would be our goal to deliver the annual numbers.
John Davis: Okay. Great. That’s super helpful, Sanjay. And then just the backlog, you mentioned it’s very strong, I think, several times. Is there any kind of metrics that we can think about? Or what kind of backlog growth you need to sustain that 20% top line or contribution profit growth. Just help us maybe contextualize the comments of strong backlog and why it gives you so much confidence? Any detail there would be helpful.
Sanjay Kalra: John, I would say that the confidence we are getting to discuss and share our long-term model of 20% revenue growth is coming from the backlog we have today.
John Davis: Okay. Fair enough. And I’ll sneak one last one in for Dushyant. Just update on IPN. Obviously, you called out an addition this quarter. Any update on size of what percentage of revenue it contributes today? Or when do you think that, that business may become profitable? Just anything to help us think about IPN, where you are today and where you thought maybe you would be during the IPO. Just any update on that would be helpful.
Dushyant Sharma: I think IPN actually is doing really well and actually growing well. And we plan to turn this into a profitable business soon, maybe even next year, we will try. And in terms of the size, we are not disclosing it yet. We will probably take a look at what metrics we can share. But at the high level, what I could explain is, if you think about the point I was trying to make in the prepared remarks is if I’m a billing company, and if I can do one integration with one platform, which gives me industry-leading capabilities in terms of the channels on my own ecosystem. But in addition, it gets me into diverse capabilities and reach to my customers, whether it’s on an app of my choice or it’s bank of my choice or even a retail store of my choice, it’s pretty remarkable how big that is from even just from a biller acquisition standpoint and if you put the other side of it from a financial institution standpoint, or any other participant in the ecosystem. If you want to reach to a biller community, of all sizes, different verticals you could get that just with one integration. So I think we’re very excited about the future of IPN, not only in terms of its own product capability, but in terms of what it all means for all of our financial institutions as well as biller clients.
John Davis: Okay, appreciate the color.
Dushyant Sharma: Thank you, John.
Operator: Our next question today comes from Dave Koning with Baird. Please proceed.
Dave Koning: Yes. Hey, guys. Thanks so much. And I guess my first question, when we kind of look at the cadence of this year and really even some of the other years, Q1 usually has a big step-up sequentially and then the rest of the quarter sequentially grow, let’s say, low to mid-single digits or something around there. Is that going to be normal into next year given the backlog and just the kind of normalized pace that we normally see?
Sanjay Kalra: David, if I just may clarify, please. Is it about the revenue contribution profit, transactions because it’s an interesting dynamic among all? So if you can please clarify, I would appreciate it.
Dave Koning: Yes, it’s a great question. I mean on the gross revenue line, usually, Q1 is a really big quarter, and then it’s a little more stable the rest of the year sequentially?
Dushyant Sharma: Yes, I think it will be. Dave, it’s Dushyant. I would say it really is quarter-to-quarter. It’s very hard to predict. I mean, some quarters are better than others in terms of which clients go live. So I wouldn’t look at it that way. We will provide our guidance – in February, we will also provide our Q1 guidance. So at that point, we will take a look at it. But it’s an interesting question actually, but it varies quarter-to-quarter. And if I may just add, the historical trends, definitely, there could be a way to model the business. But I would say that as we are diversifying our business into multiple other verticals which has its own interesting seasonality and which we actually just experienced this quarter. In Q3, our CP came in higher, which originally a piece of what we were expecting in Q4. And that’s all happening as we are diversifying more. So this diversification is not only giving us scale, but it’s slightly also modifying our previous trends we have observed. Hence, quarterly forecasting at this point, I think using the last trends would be similar, but please be aware that our diversification might slightly change from what we have seen in the past.
Dave Koning: Yes. Got it. Okay, thanks for that. And maybe just my follow-up, for many quarters in a row, network fees have been like 59% to 60% gross revenue other than Q1 this year, which you called out to the high utility inflation, etcetera, but it’s very steady 59% to 60%. You’re guiding, I think at the midpoint, you like 61% in Q4. And just maybe thinking through utility inflation has come down a ton, how should that number be going forward or why is it maybe up sequentially in Q4?
Dushyant Sharma: Yes, Dave, again, I’ll say, contribution profit, which basically is the revenue less the network fees. That’s – I mean, there are a lot of variables outside our control, which go into contribution profit or you can say it goes into network fees, such as increase in the average payment amount, changes in the payment mix, builder mix, and CPI, card network fees. So it’s not – it’s the only metric which is, I would say, the most difficult to forecast. And especially talking about the trends, what you would see there, they could vary. And as we are adding more billers, the large-size billers, especially, that also is adding a little bit more complexity, if I say, to estimating the network fee. But if you take a step back and look overall, what’s happening. Our transactions overall are growing. If the macro starts helping us the way it has helped us in Q3, I think overall, you will see the trend which you are expecting, i.e., the network fees overall per transaction to go down. But again, that is the expectation based on what we are seeing. I still always point to these various which are outside of our control, which could impact quarter-over-quarter variability. Hence, we are very comfortable talking about how the whole year would shape up, which is exactly what I just mentioned to John. And that’s the way we think about our long-term model, the top line and the bottom line EBITDA. Now, when you go inside the P&L, i.e., the network fees, the contribution profit, the operating expenses, all these can be managed, and I would say, calibrated in a manner so that they do not impact our primary metrics, which is the top line and EBITDA. So, for example, let me just share, if the network fee starts coming in higher, we could manage the OpEx in a way so that our EBITDA dollars is not affected. Vice versa also works. If the network is coming low and we are seeing more benefit, we can start spending more money on the right objectives, for example, sales and marketing. So, it’s all the right financial planning and the strategic direction of the company, which we are trying to achieve. But managing a single metric and understanding that and forecasting that is becoming a little difficult, I would say, given the business is scaling and diversifying. I hope that helps to provide some color to your answer.
Sanjay Kalra: And if I may add that – if I may add to that, actually, we might be approaching our 20th anniversary here and we have been operating the business for a while. I think contribution profit is a very important element of the business. But as you have seen this year, and my message to the investors would be, look at the top line as the parameter, if you will, of our – how fast we are capturing the market share, which is the growth of the business and our EBITDA margins. And we as a team, as we have done for over a decade now, we know how to manage the business to still deliver the shareholder value and drop to the bottom line. As we see things changing and as we have demonstrated that we can raise pricing and so on if the macro requires us to. So, I just wanted to put that out there.
Dave Koning: Yes. Thanks guys. Appreciate it.
Operator: [Operator Instructions] Our next question comes from Will Nance with Goldman Sachs. Please proceed.
Will Nance: Hey guys. Good evening. I guess I just wanted to follow-up a little bit on some of the seasonality impacts that you were talking about. It sounds like some stuff kind of moved around between Q4 and Q3. It does sound like it’s kind of impacting – the prior question, like the outlook between revenue and contribution profit in the fourth quarter as well. Maybe could you double click a little bit on what it was that got pulled forward into this quarter, or what was the – it sounded like it was a new vertical. And I guess, is there a gross versus net dynamic there, because it does seem like there is a pretty big divergence between gross and contribution profit as we look out into the fourth quarter. And so maybe it’s worth double-clicking a little bit on some of those seasonality things that you have been alluding to.
Sanjay Kalra: Sure, Will. Great question. I would say that there was a cohort of billers which went live earlier this year, and they are from a few mixed verticals, I would say, primarily from the government. But they were live earlier this year, went live, and then we were not exactly sure that, that seasonality would come in Q3 or in Q4. And when we were guiding just three months ago, we guided for both the quarters, Q3 and Q4. And we took a prudent approach that most likely, these billers seasonality impact, mainly for the net contribution profit would be beneficial to us only in Q4, not in Q3. There was some likely chance, but not material. What actually happened was we saw the seasonality pick up more in Q3. And so I think we are actually glad it happened because for the entire year, that removes the risk of Q4, and we already have it in Q3, and that’s behind us. Hence, you see a $1 million move from Q4 to Q3 at midpoint of our contribution profit. But that said, regardless of this move, I would say, for the full year, contribution profit is up by 60 basis points from the previous guidance versus now. And even regardless of that move, I would highlight that adjusted EBITDA dollars are up by 18% in Q4 now versus what we guided earlier and 17% for the whole year. And so – but to answer your question specifically, from a profit standpoint, yes, that shifted more from Q4 to Q3. But if you look at the top line from a revenue standpoint, you won’t see that very clearly because in revenue, we also saw some softness as we came at midpoint. And that was primarily because the CPI Index, like CPI Index benefited on contribution profit, but not so much on the revenue. And there are some variable billers, i.e., the billers whom we charge them with variable costs or interchange, if that goes down, that reduces the revenue a little bit. Although that was forecasted it was a part of our guidance. But just to explain the difference between gross and net to your specific question.
Will Nance: Got it. That’s super helpful. I appreciate all that detail. And Dushyant, I think you mentioned in the press release and in the prior remarks about the confidence and the visibility you guys have into next year that stands out. I don’t know a lot of other management teams talking about the visibility that they have that kind of speaks to the model. But just I guess how does this kind of inform your desire to kind of lean into investments in the platform? And obviously, EBITDA this year, I think it’s up like 90% this quarter. So, it’s growing a lot faster than 25% right now. So, just how are you thinking about opportunities to invest given the degree of visibility you have?
Dushyant Sharma: Thank you, Will, for the kind words and mean a lot. We as a management team, we are very focused on continuing to make strategic investments in growing the business and growing the product portfolio and the functionality to make sure that we remain innovative and our existing customers and prospective customers continue to find home in looking at us as a leading platform. So, that will continue to occur. And in terms of the EBITDA growth this year and going forward, as Sanjay mentioned, that remains our North Star, 20% to 30% EBITDA dollars growth year-over-year. What we are focused on right now based on the – it’s sort of like – and we will provide color in the next quarter based – once we finish the year. But as I was sharing earlier in the year, that to deliver the high end – the top end of our guidance, we really didn’t need to sign any new clients based on the backlog we already had in 2022. That dynamic or the way we have architected our business is actually very helpful as we can turn the dial on OpEx and different opportunities we see whether sales and marketing or product and so on. So, we feel very good about where we are for this year. Obviously, guidance for next year will come later, but we are feeling good where we are sitting right now.
Will Nance: Got it. Appreciate you guys taking the question. Nice quarter.
Dushyant Sharma: Thank you.
Operator: The next question comes from Rebecca Lu with Citigroup. Please proceed.
Rebecca Lu: Hi. Thank you for taking my questions. You mentioned the launch of several large billers this quarter. So, it sounds like some were implemented sooner than expected. Why are we not raising the outlook for the top line a little bit more? Is it because we are being conservative, or are there anything else we might be missing?
Dushyant Sharma: First of all, Rebecca, thank you for the question. I think we are raising the guidance by a decent number. But this will continue on, as you know, some billers, which went live, they were expected to go live in the quarter. And what we are expecting in Q4 is something similar. But the combination of the success in Q3 and the go-lives in Q4 is what’s driving our rates for the quarter and the year on the top line.
Sanjay Kalra: Yes. And if I may add, Rebecca, these billers where we saw a slight shift in the seasonality quarter, these billers specifically have been implemented earlier in the year. But they were expected to have a spike in seasonality only in one particular quarter. So, it’s not that the implementations happened in Q3. Implementations are on track on what we envisioned for each quarter, actually, including Q4. So, it’s not about the implementation timeline, but that’s mainly about the seasonality in which quarter it’s going to spike. And that estimation was Q4 earlier and it proved to be Q3. That said, the revenue guidance is up for the year-over-year. We are more than 20% this year in ‘23 at midpoint compared to last year ‘22. And actually, that’s in line with our long-term business model, which I just shared that we want to grow our top line with 20%. Yes, it could be slightly over 20% or slightly at 20%. But I think we are feeling good about where we are. And again, to point out that while revenue growth is what it is, our focus also is to drop it to the bottom line to the maximum we can, i.e., we are focused on profitable growth and not just growth. So, I just want to be very clear on that approach we are adopting and how strategically we are managing our business.
Rebecca Lu: That’s helpful. Thank you.
Dushyant Sharma: Thank you, Rebecca.
Operator: Our next question comes from Matt O’Neill with FT Partners. Please proceed.
Matt O’Neill: Yes. Hi. Good evening and thank you for taking my call. A lot of great questions already asked and answered and I appreciate the outlook for ‘24. Nice to see the transactions coming in above expectations. Just a little bit curious if you could dig into the dynamics impacting the RPT a little bit. Maybe just remind the group like what the moving parts were, it was a little bit below, I think where consensus was at. And I think I might have missed it if it was from some mix shift or a new larger biller on the platform, if you wouldn’t mind just addressing that. Thank you.
Dushyant Sharma: Hey Matt, how are doing? We could not hear what you said. What was the question about, if you wouldn’t mind. Actually, I just want to make sure we get it right.
Matt O’Neill: I am outside. Can you guys hear me more clearly now? Is that better?
Sanjay Kalra: Yes. You mentioned something RPT. Can you explain what you mean?
Matt O’Neill: Yes. I was just asking about the revenue per transaction came in a little bit below I believe where consensus had implied. So, it was great seeing transaction growth outperformed. So, just curious if there was like a mix dynamic or maybe I missed what sort of drove the RPT a little bit lower than where consensus was at.
Sanjay Kalra: Yes. Matt, I would say that biller mix is the answer for the revenue per transaction or CB per transaction. There are so many variables playing in our business that I think the per transaction metric is now actually becoming a byproduct of our business rather than a strategic force that’s helping to drive the business. Generally, I would say transactions growth eventually mean increasing revenue and scale, resulting in more profitability. However, looking at our business per transaction is not becoming an effective way or as a means to forecast our business. So, it may be a $0.01 more or less than the prior quarter or maybe $0.02, but that is not really dictating any strategic decisions or direction of the business. So, answer to your specific question is, it’s the builder mix. As the number of transactions are up and we have added a large number of billers you might see revenue per transaction going down, maybe a $0.01 or $0.02. But that is not going to ultimately determine – what I want to say is that’s not the right – I think becoming the right metric to forecast going forward.
Matt O’Neill: Yes. That makes a lot of sense. I appreciate that. Yes, I think focus on transaction growth is the key. Thank you.
Sanjay Kalra: That’s right, Matt.
Operator: Thanks Matt for your questions. There are currently no questions waiting at this time. So, I will pass the conference back to the management team for any further remarks.
Dushyant Sharma: Well, thank you everyone for joining today. Have a great week. Thank you.
Sanjay Kalra: Thank you all. Bye-bye.
Operator: That will conclude today’s conference call. Thank you all for your participation. You may now disconnect your lines.